Operator: Good morning, ladies and gentlemen, and welcome to the TELUS 2014 Q4 Earnings Conference Call. I would like to introduce your speaker, Mr. Paul Carpino. Please go ahead.
Paul Carpino: Great. Thank you, Peter. Good morning, everyone, and thank you for joining us today. The fourth quarter and 2015 target news release and detailed supplemental investor information are posted on our website, telus.com/investors. On the call today will be Executive Chair, Darren Entwistle, who'll provide some opening comments, followed by a review of operational highlights by Joe Natale, President and Chief Executive Officer. John Gossling, our CFO, will then provide a review of our fourth quarter financial results and 2015 targets. After our prepared remarks, we will conclude with a question-and-answer session. Let me direct you to Slide 2. This presentation, answers to questions and statements about future events, such as 2015 targets, intentions for dividend growth and future share purchases are subject to risks and uncertainties and assumptions. Accordingly, actual performance could differ materially from statements made today, so do not place undue reliance on them. We also disclaim any obligation to update forward-looking statements, except as required by law. I ask that you read our legal disclaimers and refer you to the risks and assumptions outlined in our public disclosures and filings with the securities commissions in Canada and the United States. Let me now turn the call over to Darren, starting on Slide 3.
Darren Entwistle: Thanks, Paul. TELUS closed out 2014 with yet another strong quarter. We continue to lead our industry in key areas such as total subscriber growth, ARPU and, importantly, customer loyalty, while adding another year to our track record of delivering growth and returning capital to shareholders. Joe and John will provide more detail on our fourth quarter in a few moments, so let me highlight our industry-leading performance in 2014. In a year characterized by robust competition, TELUS once again demonstrated our world-leading employee engagement, focus on our passion for putting customers first, can drive industry-leading performance and significant returns for shareholders. At the beginning of 2014 we set ambitious revenue, EBITDA and earnings targets, and we delivered. Overall revenue growth was a strong 5.2%, underscoring the quality and diversity of our wireless and wireline asset mix. This top line growth translated into solid EBITDA and EPS growth, where EBITDA grew 4.9%, accompanied by a notable EPS growth rate of 14.4%. Moreover, cash flow grew an impressive 148% year-over-year in the fourth quarter. Importantly, the profit growth was achieved while maintaining the significant and essential commitment to capital investments in our wireless and wireline networks and delivering on our shareholder-friendly programs for returning cash to our investors. Both wireless and wireline segments were strong in 2014, and TELUS was once again one of the few carriers worldwide to experience growth across both our wireless and our wireline operations. Our wireless segment met our revenue growth and EBITDA targets with highlights including ending the year with more than 8.1 million subscribers, an increase of 293,000 customers year-over-year, achieving network revenue growth of 6.5% and delivering a 4.7% EBITDA growth. Highlights also included realizing an industry-leading average revenue per user of $63.13, reflecting growth of 2.9% and a full 5% higher than our closest national competitor. Tellingly, postpaid ARPU was up 2.8% in the fourth quarter on a year-over-year basis. Highlights also included growing our lifetime revenue per customer to more than $4,800, which represents a 22% lead over our peers. And finally, and importantly, earning 54% of the industry's net new postpaid subscribers, while economically only realizing 30% share of gross adds. Indeed, at the heart of these achievements is our team's steadfast commitment to keeping our customers top of mind in every single thing that we do, and its powerful differentiator remains a key competitive advantage for TELUS. Notably, throughout 2014, TELUS obtained a postpaid customer loyalty rate of 0.93%, an all-time best for our company and 29 basis points better than our next national competitor. TELUS was also the only national carrier and one of the very few globally to have a postpaid churn rate of less than 1% for the entirety of 2014. Moving to wireline, we continue to be one of the only major telecommunications companies in the world to report annual growth in wireline revenue, EBITDA and customer additions. Notably, in 2014 we delivered revenue and EBITDA growth of 2.7% and 5.3%, respectively. These results represent our second consecutive year of EBITDA growth and our fourth straight year of wireline revenue growth. Indeed, these achievements are underpinned by the strength of our Optik TV and high-speed Internet offerings, which continue to delight customers and offset declines of legacy products. In 2014, we added 101,000 net new Optik TV customers and 80,000 new high-speed Internet customers. TELUS Optik TV continues to draw customers through its technology advancements, its reliability, the choice we offer our clients and the value in our television services. We closed the year with more than 900,000 subscribers, and by the end of 2015 we expect our Optik TV customer base will reach 1 million subscribers. A remarkable achievement since the Optik TV brand was only launched in the summer of 2010. Perhaps one of the most notable examples of the success of both our wireless and wireline businesses in 2014 was the net addition of 389,000 revenue-generating units, or RGUs, an impressive total compared to our peer group. Importantly, TELUS continued to maintain one of its strongest balance sheets in our industry on a global basis, allowing us to reward shareholders with the industry's most robust and, indeed, transparent multiyear dividend growth and share purchase programs. Our company also exceeded our 2014 commitments for these programs. Our dividend growth initiative targets an increase of circa 10% annually, and in 2014 we delivered growth of 11%. Concurrent with our dividend program, we continue to execute on our multiyear share purchase program, which is structured for purchases of up to $500 million in each calendar year through 2016. Capitalizing on the speculative headlines and volatility in the markets, we actively completed our $500 million 2014 share purchase program early, building on the $1 billion in buybacks completed in 2013. Thereafter, we invest [ph] our $500 million 2015 share purchase program to September 2014 to buy back and cancel up to another 16 million TELUS shares. Impressively, since 2013, we have purchased and canceled 47.5 million TELUS shares for $1.6 billion, reflecting an average purchase price of $34.42, a very favorable discount to yesterday's close and reflecting a 27% internal rate of return on this program. Over the course of 2014, we returned $1.5 billion through our shareholder-friendly initiatives and notably, since 2004, have returned $11 billion to investors. Or, think of this in another way, this is equivalent to $18 per share or approximately 41% of the company's current market capitalization. Importantly, the synergy of running the dividend growth and NCIB program simultaneously has saved investors $83 million in dividend outflows that otherwise would have been paid. As we look towards 2015 and beyond, we are resolute in our commitment to our key customers and as well our shareholder-friendly programs. We are establishing strong 2015 financial targets, including revenue, EBITDA and EPS growth of up to 5%, 7% and 13% respectively, and healthy cash flow growth of up to 27%. These targets not only support our multiyear dividend growth and share buyback programs, but also reflect the confidence we have in successfully managing our wireless and wireline business within the context of a competitive industry and a dynamic Canadian economy. We underpin our modern knowledge-based economy where customers, at least for the foreseeable future, will insist on more information at greater speeds regardless of where they are and what devices they use. With this exciting secular backdrop for the company and our growth, our value and our safe haven track record, I remain confident that TELUS will continue to benefit its investors, customers, team members and the communities where we live, work and serve in 2015 and beyond. Let me now turn the call over to Joe, who will take you through the details of our strong fourth quarter. Joe, over to you.
Joseph M. Natale: Thanks, Darren. I'm very pleased with the TELUS team's performance in the fourth quarter. We finished 2014 with strength in our operational, customer loyalty and financial metrics. Let me highlight some key elements driving the momentum in both our wireless and wireline businesses. Starting with wireless on Slide 4. TELUS reported another quarter of strong postpaid wireless net additions, 118,000, up more than 4% year-over-year. We have now led the industry in net additions in 6 of the past 7 quarters. Postpaid gross additions were up again this quarter by 6%. Turning to churn on Slide 5. TELUS reported a record-low fourth quarter blended churn rate of 1.33%, an 8 basis point improvement year-over-year. More importantly, postpaid churn of 0.94% was an industry best, an improved 3 basis points year-over-year in what is a highly promotional quarter. This was the 6th consecutive quarter we reported postpaid churn below 1%, and as Darren noted, we ended the year with the lowest annual churn in our company history. This is truly a remarkable achievement and a key differentiator for TELUS. Moving to Slide 6. TELUS reported a 17th consecutive quarter of year-over-year blended ARPU growth, up more than 3% to an industry-leading $64.20. Our smartphone subscriber base continued to grow, now at 81% of postpaid subscribers. The quality of our network is essential to supporting this trend. Our 4G LTE network now covers more than 89% of the Canadian population, while 99% of Canadians continue to enjoy 4G HSPA+ coverage. Turning to Slide 7. Our declining churn and increasing ARPU are driving our leadership in lifetime revenue per subscriber. Lifetime revenue per subscriber increased again this quarter by 10% to over $4,800 or up to 37% better than our peers. In summary, our superior wireless operating metrics continue to be underpinned by our strategic focus on high-quality loading, our robust smartphone deployments, our investments in the best networks in the world to meet customer demand for increased data and our strong execution in delivering an exceptional and differentiated customer experience. Turning to wireline on Slide 8. We continue to build scale in TV and high-speed Internet. TELUS reported fourth quarter TV net additions of 28,000 with our base expanding by over 12% year-over-year to 916,000 customers. The demand for our premium Optik TV service remains healthy and continues to drive great pull-through growth in high-speed Internet. We added 22,000 Internet subscribers in the fourth quarter, and our Internet base grew 6% year-over-year to about 1.5 million customers. We now offer Internet speeds of 50 megabits per second to 93% of our approximately 2.8 million Optik TV capable households, providing customers with even greater speeds through our ongoing strategic investments aimed at pushing fiber directly to homes and businesses. Notably, we continue to see increasing lifetime revenue for both Optik TV and Internet. What is clear to us, for both wireline and wireless, is that our customers want more speed and more services. Our wireline investments today are designed to enable capabilities over many decades to come and to drive steady growth and cash flows into the future. Our successful focus on offering compelling bundles to win the home is illustrated by lower residential NAL losses, down 20% to 20,000. This reflects ongoing but moderating substitution trends and represents the 5th straight quarter we have seen residential NAL losses trending down in the mid- to low-20,000 range or lower. Combined TV and high-speed Internet additions of 50,000 exceeded residential NAL losses for the 18th consecutive quarter by a factor of more than 2x in the fourth quarter. TELUS continues to be one of the only carriers globally to report growth in wireline customer connections as well as revenue and EBITDA growth. Our triple play product offering remains extremely compelling with the ongoing expansion enhancement of coverage, speeds and content. We continue to add new programming into Optik TV, such as CraveTV, which we began offering in December, and Netflix available through the Optik set-top box announced yesterday. This extends our leadership in video on demand, offering customers more choice, more flexibility and letting them choose the content they want when and how they want to watch it. Although the market remains intensely competitive, we continue to focus on initiatives to enhance efficiency and support our effectiveness in delivering a superior customer experience. So to summarize our fourth quarter, we reported strong postpaid wireless subscriber growth. We delivered postpaid churn that was once again the lowest in North America. We saw ARPU and lifetime revenue continue to be the highest in Canada. And we have the most rapidly growing wireline business in Canada and one of the fastest-growing globally. As illustrated by our 2015 targets, we expect these positive trends and ongoing momentum to support continued strong revenue, EBITDA and EPS growth driven by our high-quality wireless and wireline asset mix. These targets reflect our confidence that we can continue to set TELUS apart on the basis of customer experience excellence and create further significant value for our customers and investors going forward. So with that, I'll turn the call over to John to take you through the financials for the quarter. John, over to you.
John R. Gossling: Great. Thank you, Joe. Let me touch on Q4 financial results first. Then we'll get into guidance. I'm on Slide 10. Fourth quarter wireless results continue to show our strong operational execution as you've heard and as we demonstrated throughout the year. Network revenue growth of 8% was driven by strong data revenue growth of 24%, reflecting continued growth in our subscriber base, higher data usage from the continued adoption of smartphones and other data-centric wireless devices as well as the expansion of our LTE network coverage, higher full cell data roaming revenues and increased customer adoption of higher rate two-year plans. EBITDA increased by 6.3% due primarily to network revenue growth, partially offset by higher retention costs and increased customer service, network operating and distribution channel expenses. Capital expenditures decreased due primarily to lower network investments as higher LTE CapEx to support the expansion of the network was offset by lower HSPA network investments. As shown on Slide 11, our wireline financial results also continued to show solid momentum. Revenue increased by 1.5% due to data revenue growth of 7.1%, generated primarily by high-speed Internet subscriber growth and higher revenue per customer and TELUS TV subscriber growth, partly offset by lower data equipment sales. Reported wireline EBITDA increased by 3.4%, representing a margin improvement of 40 basis points due to continued data revenue growth as well as continuing operational efficiency initiatives. Wireline capital expenditures increased over the same period from last year to support ongoing investments in our broadband network infrastructure including connecting more homes and businesses directly to fiber optic cable and investments to support business service growth and Customer First initiatives. On Slide 12, the success of our strategy and operating execution delivered another quarter of strong consolidated revenue and EBITDA growth, which is supporting the return of significant capital to our shareholders, as Darren has mentioned. Consolidated revenue increased by 6.1% due to continued growth in both our wireless and wireline operations. Notably, consolidated data revenue increased by 15% year-over-year to $1.7 billion, representing 55% of fourth quarter consolidated revenue. Consolidated EBITDA was up 5.3% on a reported basis. Basic earnings per share of $0.51, increased by 8.5%, and I'll discuss the drivers of EPS in more detail on the next slide. Free cash flow of $337 million increased by 148%, primarily due to EBITDA growth and lower cash income taxes. Low retention plan contributions and capital expenditures also supported this growth. Slide 13 provides a breakdown of EPS drivers this quarter. Strong EBITDA growth was the primary driver of EPS growth, adding $0.05 to the upside. Lower shares outstanding reflecting our ongoing share purchase program was offset by higher depreciation and financing costs. Overall, solid EPS growth driven by strong underlying profitable growth. Let's move on to a review of 2015 targets and assumptions. Slide 15 outlines our segmented targets for 2015. In wireless, it's worth highlighting that our wireless target in growth rate as well as consolidated targets for 2015 now include Public Mobile. For 2015, TELUS' network revenue was targeted to increase between 3% and 5%, reflecting modest subscriber and ARPU growth. ARPU is expected to benefit from increasing data usage and ongoing adoption of 2-year plans. We also anticipate that we will continue to benefit from our 4G LTE network investments, resulting in continued growth in data and roaming revenues, helping to offset lower voice revenue. Wireless EBITDA is targeted to be higher by between 3% and 7% in 2015. In wireline, revenue is targeted to increase between 2% and 4% in 2015, as we anticipate continued data revenue growth from high-speed Internet, business process outsourcing, healthcare and TELUS TV, partially offset by continued decreases in legacy voice revenues from ongoing wireless substitution and competition. Wireline EBITDA is targeted to increase by between 1% and 6%, supported by revenue growth and ongoing efficiency initiatives, partially offset by the ongoing industry trend of revenue losses from the higher-margin legacy voice services. Combining our business segments on Slide 16, TELUS is targeting continued strong revenue and EBITDA growth driven by both wireless and wireline, which reflects the benefits of our strategic Customers First-related investments combined with our customer-focused operational execution. Earnings per share is expected to be higher by 4% to 13%, reflecting EBITDA growth combined with the reduction in shares outstanding from our ongoing share purchase program. As Darren referenced earlier, consolidated CapEx in 2015, excluding spectrum licenses, is targeted to be similar to 2014. Our 2015 capital expenditures reflect our continued focus on wireless and wireline broadband infrastructure, including connecting more homes and businesses directly to fiber optic cable and the continued deployment of the 700 megahertz wireless spectrum that we acquired in early 2014 as well as a network and system resiliency and reliability to support our ongoing Customer First initiative. Capital expenditures [ph] as a percentage of consolidated revenue is targeted to be approximately 19%. Slide 17 reviews some of our other notable assumptions for 2015. Total defined benefit pension expenses for 2015 is estimated to be approximately $132 million, of which $106 million will be in employee benefits expense and $26 million in financing costs. Defined benefit pension plan funding is planned to be approximately $88 million, consistent with 2014 levels. Our continued focus on operational efficiencies is expected to result in restructuring and other like costs of approximately $75 million. Cash taxes are expected to decrease to a range of $280 million to $340 million, primarily due to lower final tax payments for 2014. Other key assumptions and sensitivities are also listed in Section 1.5 in the fourth quarter management's review of operations. On Slide 18, I'd just like to reiterate how our strong balance sheet is helping to position us to continue making strategic investments to support longer-term growth, including our participation in the AWS-3 and 25 megahertz spectrum auctions coming up early in 2015 while, at the same time, returning significant capital to shareholders. At the end of 2014, our long-term net debt-to-EBITDA ratio was 2.19x, significantly better than that of our peers. Our excellent debt maturity schedule reflects no significant maturities in 2015. Our 2 successful debt issues in 2014 increased our average long-term debt -- sorry, long-term debt maturity to 10.9 years at the end of 2014 and our average cost of debt is now approximately 4.7% per annum. In addition, with over $2 billion of available liquidity combined with our investment-grade credit ratings, TELUS has ready access to capital market funding. Let me conclude on Slide 19. TELUS' continued strong operational execution, combined with our strong balance sheet, leaves us well positioned to continue executing on our multiyear shareholder-friendly initiatives, including our dividend growth and share purchase programs. Our current dividend stands at $0.40 per share or $1.60 annually, reflecting an attractive yield of just under 4%. Under our advanced 2015 NCIB program, which began at the beginning of October 2014, we have purchased and canceled over 3 million shares for $136 million through the end of January 2015. This builds on the 44 million shares purchased and canceled for $1.5 billion under our 2013 and 2014 NCIB program. When combining our NCIBs from 2013 through January 2015, the average price per shares purchased is $34.42, a 21% discount to our closing share price today. TELUS' shares outstanding are now lower year-over-year by approximately 2.2% or 14 million shares to 609 million shares. And notably, we have returned $11 billion in cash to shareholders since 2004, representing $18 per share. Let me now pass the call back to Paul to take your questions.
Paul Carpino: Thanks, John. Peter, can you please proceed with questions from the queue for Darren, Joe and John?
Operator: Our first question comes from Simon Flannery.
Simon Flannery - Morgan Stanley, Research Division: The wireless ARPU continues to be impressive and quite the contrast with the U.S. operators. Can you touch on a little bit what the main drivers of that are? Is it people switching over to LTE, higher usage, I think you touched on roaming as well, and kind of the drivers continuing into -- the ability to continue that into 2015 as well?
Joseph M. Natale: Thanks, Simon, its Joe. I would say -- overall our ARPU -- a few factors are driving momentum in ARPU. First and foremost is the fact that the base continues to expand. We accumulated 3.7% of the available postpaid net adds amongst the large competitors in Canada this past year, so we continue to kind of add higher-value subscribers and continue to augment the base. Secondly, data consumption is on the move. The average customer is doubling their consumption of data every 18 months or so. As a result, as we add more capable smartphones to the mix, as we continue to add speed and capacity to our networks as people migrate from older-generation smartphones to newer-generation smartphones, it comes with an automatic growth and appetite for data and greater data consumption. On top of that through our share plans we're seeing people adding multiple devices to the construct of the share plan. They're adding tablets, they're adding other devices and, therefore, creating data as a shared capability or facility amongst the household. We still have lots of room for growth on roaming. Unlike some of our peers, TELUS still is a relatively new entrant to the roaming market and there's opportunity and growth in that area as well. So overall, we still feel fairly confident on ARPU growth for the foreseeable future, as long as there's consumption in data, which is the case, given that people continue to use smartphones in every aspect of their lives. We're very bullish on that front.
Simon Flannery - Morgan Stanley, Research Division: What percent of your customer smartphone users have an LTE device?
Joseph M. Natale: We don't disclose that number, Simon. We can certainly kind of look at it down the road, but it's no question that most newer devices are LTE-capable, and there is a steady migration from older devices to newer devices. If you look at the iPhone 6 loading we did in Q4, a lot of it was from iPhone 4 and 4s. That's a very typical kind of migration. People are jumping a generation often. And with that, not just the network capability, but just the capability of the device, the form factor of the device, the storage capability of the device, there's just a bigger appetite overall. So it's all the factors coming together, not just the network itself.
Operator: Our next question comes from Batya Levi.
Batya Levi - UBS Investment Bank, Research Division: A couple of questions. First, I thought if you could provide more color on what you're seeing in the macro environment and spending levels for businesses. Was that part of the reason for maybe wireline revenues coming in slightly lower than what you had expected originally? And then on the wireless side, can you talk a little bit about the increase in the retention spend? Was that mostly seasonal, or do you expect that to remain elevated as you look to capture the double cohort coming off contract?
Joseph M. Natale: Okay. It's Joe. I'll talk about general business spending, and then I'm going to ask John to talk about retention spending as well. If you look at business spending in Canada, there continues to be momentum in terms of infrastructure spending. The phenomena of data consumption is not relegated to the consumer. Large and small businesses alike have greater-than-average demands for data, Internet connectivity, for cloud services, for capabilities around video, videoconferencing, et cetera. So we're continuing to see great investment in large and small businesses overall in that category. Our focus on healthcare is continuing to provide momentum for us again in growth of those services as well. The investments we've made in data centers and cloud computing are a source of growth momentum as well. If you look at the wireline revenue in the fourth quarter, there are often seasonal and project-specific investments that are made by large companies over the course of the year. If you look back to the fourth quarter of 2013, we had a few very large infrastructure initiatives that were coming to fruition for a few of our customers. And as a result, we saw these big bumps in wireline data for that piece. If you look at this past Q4, we're pleased with the growth and steady momentum given the wireline asset mix. We did have a few infrastructure projects that slipped into Q1 from Q4 and, as a result, moved the needle with respect to wireline revenue. However, these are the types of initiatives that don't often come with higher margins, so we did very well on the EBITDA front, even though on the revenue front we missed a few of these larger initiatives overall. With respect to broad spending by the business sector, we still feel very comfortable with where that's going.
John R. Gossling: Yes. The other small piece of the wireline revenue, Batya, it doesn't stand out much, it's quite immaterial, but in the other operating income line, which tends to be a catch-all when we have asset disposals and those type of things. It did decline year-over-year. There was a little bit more of that last year. The change is only $5 million, but it does affect the growth rate just given how the math works on it, so -- but the big items are the ones that Joe mentioned. On retention spending, Q4 is seasonally, generally, I'd say, higher. Q3 and Q4 are the big -- bigger selling periods within the year. One thing that's driving the year-over-year is if you look back to Q4 2013, the 2-year contract had launched that summer, summer of 2013, and we were seeing a bit of a dampening effect on volume later last year. That switch to a new device on a 2-year contract came with a different type of commitment because of the subsidy recovery model. Certainly, recovering a subsidy on an Apple iPhone over 24 months changes the math a lot compared to 36 months. So there was a bit of, I'd say, a dampening last year, and now we've seen with both iPhone 6 coming off very strong as well as what is going to be happening in 2015, that's what was driving the increase. So certainly, as we get into the rest of '15, I think we're going to see higher levels of retention spend just because that's, a, with devices; and also b, with that 2- and 3-year contract cohort coming together, that's just the way that it's going to come for the rest of this year. So I think that's probably what we're going to see.
Operator: Our next question comes from Dvai Ghose.
Dvaipayan Ghose - Canaccord Genuity, Research Division: If I could look at your guidance for '15, I understand why you'd want to be a little bit cautious on the EBITDA guidance for wireless, given some uncertainties regarding double cohort. But if I look at 3% to 5% network revenue growth guidance, you're just coming off an 8% growth quarter, so you're guiding at the midpoint to half that growth going forward. Even though your subscriber growth has been really strong, you added more postpaid subscribers this quarter than a year ago. The data ARPU expansion is being very straight -- significant. There is continued migrations to smartphones and LTE. Is this just a conservative number, or is there any reason why we should expect a significant slowdown in growth?
John R. Gossling: Dvai, it's John. A couple of things. One, we've just given the guidance this morning. I don't think we can tell you that it's conservative or not conservative. That -- that's probably not appropriate at this particular time. But what I can tell you is, remember Public Mobile is in next year, and it wasn't in last year. That accounts for -- if you look at just the 2014 numbers, that accounts for about 1% of growth in 2014 on that consolidated number. So that's part of it. I think the other driver -- Joe talked about strong trends in usage and seeing room for ARPU growth. But remember what I just said, too, about the 2-year contract starting mid-2013. We're at a point now where as we get into 2015 and later in 2015, we're going to see a lapping effect of the benefit of 2-year contracts because of that faster subsidy recovery. So when we were sitting here a year ago, we were in the opposite position, where the start of the year was actually quite low revenue growth and people were saying, "How can you make this range?" And I think it's a little bit of a reverse this year just given the way that the comps are going to play out with that change in pricing. It takes a while for it to work through the system. So it's really -- there's a lot of moving pieces, but it's really at the highest level. It's that and the effect of public.
Dvaipayan Ghose - Canaccord Genuity, Research Division: That makes a lot of sense. Can I ask you 2 more real quick ones, John, on the balance sheet? First of all, you pride yourself quite rightly about having one of the strongest balance sheets in the sector. It was about 2.2x debt-to-EBITDA. Your publicly stated target is still 1.5 to 2. Is it time to revise that target upwards, given the fact that interest rates are low, access to capital is plenty, cost of equity is high and your peers have considerably greater leverage?
John R. Gossling: Yes. So it's a question that we had on the last quarterly call as well about the leverage and the range. I think, given we've got the 2 spectrum auctions coming, one in under a month and the next one starts in April, I think it's a little bit of let's see what happens with that and what the price sticker is on those. At the end of the day, the range is, I think something historical is a guideline that we've had, probably the bigger policy is that we want to stick to our BBB+ or an A- credit rating. I think that's what drives us more than necessarily a range. And given the heavy investment cycle we're in, especially in the spectrum, we've already spent $1.5 billion in really the last year. So it's a bit of a wait-and-see until we get through the 2.5 auction. Then we'll probably have a better view.
Dvaipayan Ghose - Canaccord Genuity, Research Division: That make sense. Last one, if I may. For a lot of your peers interest rates declining have been a double-edged sword because of pension solvency deficits. You've guided to an $88 million of -- I believe the proxy is for solvency funding. Could you give us a bit more idea as to what your solvency deficit is and therefore your funding, because it certainly would seem to be a positive differentiator?
John R. Gossling: Yes. So when it comes to pensions, there are many different ways to calculate the deficiency number. There's an accounting number, and then there is a -- basically a solvency PBSR, they call it, deficit number. So that number, the one that drives your solvency payments, is just under $400 million, with reduction in interest rates that we saw in 2014. And then the accounting number is a bit closer to $600 million. So remember that was basically flat, a slight positive surplus at the end of '13. So we've swung with interest rates down, but it's still less than $400 million on a solvency basis.
Operator: Next question comes from Jeff Fan.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: Just a quick follow-up to the wireless question, and then I've got a separate one on CapEx. On the wireless, John, you mentioned the double cohort impact in 2015. As we're all aware, there is a Supreme Court case that could dictate how -- which way that goes. But it looks like you're -- what you're saying is, you are assuming some impact of higher COR in your numbers already regardless of how that court case goes. Is that fair to say?
John R. Gossling: Yes, I think -- probably all we can say, just because it's obviously very competitively sensitive, is all aspects of double cohort that we can see right now are in the guidance, including that -- including the outcome of that court case.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: Okay. On to the CapEx, one area I want to drill down into is your guidance for 2015. Your CapEx intensity has been going up gradually, I think, over the last number of years. You're guiding for a stable CapEx intensity number for '15. But did you guys pull some CapEx spending into '14, accelerate that a little bit? Can you just give us any color to kind of remove the possibility that CapEx could be higher again this year or intensity being higher again this year?
Darren Entwistle: Jeff, I think we've done a pretty good job setting out our CapEx target within our guidance and a CapEx intensity range of 18% to 19%. In terms of pull forward into Q4, there was a little bit of that in terms of advantageous buying conditions that would support our key investment programs. So I'd go back and ask you to kind of put this into perspective. Over the last 15 years, I think we're unmatched in terms of our capital investment track record, and that our investments have always been on strategy, focused exclusively on our core business. And we've shared the fruits of those investments quite continuously with investors. And when you look at 2015, the preponderance of the money that we are spending is going into our broadband and wireline and wireless investments, supporting our Customer First strategy. So it's all related to broadband on wireline and on wireless, whether it's greater broadband and fiber deployment within our access infrastructure or the progression of our LTE in small cell builds on wireless. It's all out there supporting our Customer First strategy. There's some interesting things that are happening. And if you look at certain developments within the industry, particularly when you think about meshed micro and macro networks and the fiber backhaul that's required to support them, I've never seen capital being more synergistic between wireless and wireline than what it is right now in terms of realizing economies of scope. And then when you look at the affordability, we've already talked about the fact that we've got one of the strongest balance sheets in the global industry, I think it's smart of us to take advantage of low cost of debt available to us in the market to support the furtherance of our strategy. And if you look at our cash flow characteristics, coming off of Q4 at a 148% growth and we're guiding The Street to up to 27% growth in 2015, I think we can afford the investments that we're making. And I think 18% to 19% on the CapEx intensity zone is the right place for us to position ourselves given the opportunities that we have in the marketplace. And clearly, we've been capitalizing on these opportunities because our operational and financial results speak for themselves. I mean, it's these capital investments that have actually generated the leading operational metrics that we've realized from our net add position to client loyalty to 20% or 19.8% data ARPU growth and a value per customer realization in Q4 that's respectively $950 and $1,300 better than our 2 closest peers. And I go on, and it's an important thing for people to appreciate. I believe that the type of CapEx investments that we're making are mutually inclusive with our NCIB and dividend growth models, whereas that most organizations' expansive capital investments on a thoughtful basis preclude those type of programs and TELUS' are mutually inclusive. We can do both at the same time, such is the strength of our operational and our balance sheet in combination. I think that's a pretty good new story, particularly given the forward-looking transparency that we provided on our NCIB and dividend growth models. And then the last thing on it is, I really do believe they're synergistic. Because if we want to go beyond 2016 in growing our dividend, we want to go beyond 2016 in buying back shares to support the affordability of our dividend growth, then that's really contingent upon the smart investments that we're making today within broadband technologies in a very opportunistic environment given the availability and the cost of debt. So I'll leave it there.
Operator: Next question comes from Greg MacDonald.
Gregory W. MacDonald - Macquarie Research: The question I have is on what's going on in the energy patch. I wonder, number one, on the guidance, do you have any conservatism built into the guidance for some of the signals that we've seen on the energy patch in terms of lower CapEx, maybe some job losses? And number two, have you seen any evidence to date from -- in terms of weakness from what's going on with the energy patch?
Joseph M. Natale: Greg, its Joe. I'll take that. First of all, our view on what's happening in the oil and gas industry and energy patch in Canada is built into our guidance. And yes, there is some degree of conservatism that we built in because of what's happening right now. But I'd like to put a few things in perspective. The breadth of our revenue in Alberta is not relegated to oil and gas. We do a lot of work in the public sector in Alberta. We do a lot of work in other parts of the economy in Alberta. So we're far more diversified than just one industry vertical specifically. And one thing we're seeing is that, certainly, some of the smaller or medium-size companies in the oil industry are pulling back if they're in the supply chain somewhere and they're directly impacted. Some of the larger producers have delayed infrastructure projects. But others have said, "You know what? Labor is cheaper now, access to supplies is cheaper now." And they're driving full steam ahead, recognizing that this is a period that they have to kind of weave their way through. We have seen some pricing pressure from customers calling, looking to get a better deal, if you will, given their efficiency constraints. I look at that sometimes as a sales opportunity for our team, and I push them in that direction and say, you know what? We have a lot of technologies and ideas that have helped companies save money over the years, from managed IT services, from outsourcing parts of their infrastructure, from videoconferencing, from moving their solutions to the cloud, to managing their workspaces more efficiently, et cetera, that I think is a selling opportunity. We have an opportunity to go in and help them reconstruct their cost base and at the same time use technology as an enabler in that area as a whole. I think if you look at the consumer space, I think it's fair to say that smartphones and high speed to the home, entertainment services have become truly essential services. You've heard me say in the past that the smartphone in your pocket competes with a toothbrush with respect to being the consumer product you pick up first in the morning and last at night and, therefore, much more essential in terms of what it means to society as a whole. And given the fact that most of our rate plans and wireless right now are all inclusive of voice and texting, that the impact on overage isn't what it was a number of years ago on this front. And the last thing I'd say on this is that, at the end of the day, consumers have a lot more disposable income in their jeans, and the money they're saving on gas far outstrips the average cell phone bill in a month. And as a result, I think the disposable income will be put very specifically towards buying other services where we play a very important role. Bottom line is, we're taking a very balanced, certainly cautious approach. We're not overly concerned right now. And recognize also that we don't have all of our eggs in one vertical. We do very well in other verticals. In healthcare, in financial services, we have a strong business in BC. The BC government is declaring a surplus, and there's growth in BC. So in the main, in the balance I think we're well positioned and in a good place.
Gregory W. MacDonald - Macquarie Research: Can I have a quick follow up, Joe? You've mentioned your diversified -- your diversified nature, your exposure to businesses. However, have you ever indicated what percentage of your business customers are energy? Is there any way we can quantify what that risk is? I mean, I would agree with you, I think it's -- the sentiment impact is overdone here, but if there's a way that we can quantify, it would be helpful.
Joseph M. Natale: We have never disclosed our revenue or customer base by segment. I mean the CRTC market share data is out there with respect to what proportion of our business in wireless, for example, is in Alberta. But I think you have -- I'll go back to what I said. Our view is in our guidance. On the run-up to $120 oil, we didn't see the kind of massive revenue expansion in our business. And on the decline down to oil prices where they are today, I don't see that there's some wacky asymmetry in this at all. So I think you have to take it on face value, Greg.
Operator: Next question is from Tim Casey.
Tim Casey - BMO Capital Markets Canada: A couple for me. Joe, I'm not asking you to give us your oil price forecast, but could you give us some perspective on what you're factoring in, in terms of the Alberta economy when you release your guidance? And second question also on guidance, you're targeting a 1% to 6% EBITDA growth on the wireline side. Could you just indicate what the deltas are there, what you're thinking about in terms of -- because it's a fairly wide range.
Joseph M. Natale: Sure. On the oil front, I think I've exhausted that question in the comments overall. With respect to our concerns there, I said it's built into the guidance and we're in a good place. With respect to guidance, maybe John, you want to talk about what drives the 1% to 6% range in our view?
John R. Gossling: So Tim, obviously we have a plan for '15, our financial plan, and when we look at guidance we are associated with it. So oil price and the Alberta economy is one of those risks, and we set a range that we feel gives some decent upside and downside. I think, frankly, that the size of the range [indiscernible], the $75 million range, is actually a smaller range than it's been in the past. And that in itself drives the percentages. So the 1.6 is really a factor of the width of the range more than anything else, as we risk-adjust up and down from what we have as our number for the year. So it's not any more scientific than that, really.
Darren Entwistle: With the one addition that there is cost reduction activities going on to ameliorate efficiency, improve margins, so that we can both support future growth but also take account of any economic pressures that buffet us over the course of the year. Very much our cost structure and driving cost efficiency programs is front of mind for this management team.
John R. Gossling: Right. And that -- and all that just drives accretion in the margin, and we understand and certainly focus a lot on that wireline margin and growth in that wireline margin. So...
Joseph M. Natale: So the one -- the range that's in the guidance on margin is 28% to 29%. And if you go back to '13, our wireline margin before restructuring was 27.2%. So we often get asked, "What is the progression on wireline margin?" I think you see it very clearly in the guidance, and we still have a target set that we're driving towards 30% in the fullness of time. And it's going to come from a combination of leveraging our strong asset mix on the wireline front and, to Darren's point, just being absolutely tenacious in going after the cost base in this much more complex world.
Tim Casey - BMO Capital Markets Canada: Should we assume a fairly steady progression of the Optik footprint?
Joseph M. Natale: Yes, you should assume a very -- fairly steady progression of the Optik footprint. Certainly the TV market is maturing, but expecting to see loading in that 20, mid-20 zone on a quarterly basis is something that we feel comfortable with overall. And -- but more importantly, what we're focused on is the bundle and the pull-through. Bear in mind that -- you look at Q4, 72% of our TV customers that we added in Q4 were previously not wireline customers for TELUS at all, and they came with TV and they added home phone and high-speed or just high-speed as a combination. We're very focused on that front. The other focus we have is on lifetime revenue. If you go back to 2011, TV lifetime revenue has gone up 32%, and high-speed has gone up 77%. So Optik TV is important. The focus we really have is broadband to the home. That's the new dial tone service. That will anchor our future and our success with respect to what's happening on the broadband front.
Darren Entwistle: And it's not just progression of the footprint, right, it's also technology infill to support elevated speeds to our clients, so we're doing a combination of both.
Operator: Your next question is from Maher Yaghi.
Maher Yaghi - Desjardins Securities Inc., Research Division: I just wanted to focus on coterminous renewals of the 2- and the 3-year contracts. Can you provide what percentage of those cohorts have already renewed?
John R. Gossling: Maher, its John. This is obviously a very sensitive topic, and it's not something that we really want to go into in any detail. It's probably best just to go back to what I said earlier, which is it's in the financial guidance, and we feel pretty comfortable with what's going to happen.
Maher Yaghi - Desjardins Securities Inc., Research Division: How about if I -- maybe I can ask you, are you finding renewing or taking market share on those specific contracts easier or the same as your regular market dynamics you've seen in the past?
Joseph M. Natale: At the end of the day, what drives renewal activity for all of our customers, regardless of what type of contract they're on, it's driven by a number of factors. One, the timeliness and availability of iconic phones. So there's no question that iPhone 6 comes out and there is like a magnetic attraction to that new device, and you get a peak of renewal activity as a result of that. There are seasonal periods that we all understand, back to school, the holiday period, et cetera, that drives that same focus. So that's going to continue to happen. What you can expect from us, Maher, above all else, is a focus on service; a focus on AMPU, average margin per unit; and a disciplined focus with respect to renewal activity. And we've, I think, proven that we can do all that given the leading churn rate that we've had over the last many quarters.
Maher Yaghi - Desjardins Securities Inc., Research Division: Okay. And on Optik TV, we've seen you guys opt to add Netflix to the menu and to the programming, which is benefiting the consumer. Can I ask you maybe just to quantify, if you have seen so far any impact on the substitution rate for customers to take on Netflix? Or what is -- what are your assumptions or expectations for the substitution rate of Netflix versus packaged content on the regular TV side, if there are any?
Joseph M. Natale: Yes. I think overall -- we just launched our Netflix yesterday. We launched CraveTV in December. Our philosophy is a simple one, and that is to give our customers the content they want. We're actually quite indifferent to whether that content comes from a traditional source, whether it comes from a Netflix-type provider. We really want to create the best viewing experience both in the living room and on-the-go. And that's the proposition we have made to our customers. And with that we've added the notion of choice and flexibility in terms of our theme packs, in terms of our approach to TV marketplace. There's no question there is an element of cord-shaving going on across the sector. And part of the goal we have is, if Optik TV can become a destination for our customers, where they can get the viewing choices they want, then they can stay within Optik TV. They don't have to kind of look to other sources for content. And you can see that's where we're going with the platform.
John R. Gossling: Joe, it's fair to say that a large proportion of our TV customers and our Internet customers have Netflix. We know they do. We know they're using it. So this is something that makes it easier for them to use the product.
Darren Entwistle: Right, within the Optik ecosystem.
John R. Gossling: Right. Exactly. They're using that set-top box.
Operator: Our next question comes from Glen Campbell.
Glen Campbell - BofA Merrill Lynch, Research Division: A couple of questions on wireline, if I may. First, you flagged in the MD&A the importance of business process outsourcing and also e-health. Can you give us a sense of how fast those revenues were growing in 2014 and whether you expect them to be sort of steady at that rate or accelerate or slow a little bit in '15?
John R. Gossling: Sure, Glen. So there is obviously a focus on those businesses, and they are growing, and they're accelerating, and they accelerated in the back half of 2014. I think low double-digit revenue growth is what we're seeing on those. It's probably the best way to put it. But they are both growing nicely for sure.
Joseph M. Natale: The e-health business is becoming very mature, and our health business and the investment there is paying off. The healthcare application side especially is growing very well for us, as John said, in that low double-digit range.
Glen Campbell - BofA Merrill Lynch, Research Division: Okay, great. And for 2015, can you give us a sense of what you might be thinking of for those businesses?
John R. Gossling: I think similar with perhaps a little bit of acceleration on the top line and certainly a decent contribution at the EBITDA line as well. So they become important to the wireline growth for sure.
Glen Campbell - BofA Merrill Lynch, Research Division: Okay, great. And then on the wireline CapEx, I mean, you've described it in the past as being modular with some elements of, lets say, experimentation on fiber to the prem. Will that still be the case in 2015? Or with this continuing spend, is there now more opportunity to scale up and, let's say, build faster?
Darren Entwistle: Still be modular. There will still be a pilot aspect of it, but we'll modestly increase the scale.
Glen Campbell - BofA Merrill Lynch, Research Division: Okay, great. And just a quick one on Public Mobile. So it's EBITDA positive in Q4 but still significant OpEx. Do you expect the OpEx to be relatively similar into 2015 or can that come out?
John R. Gossling: I think the last stages really came out in Q4, so you don't have a full quarter benefit of those savings yet. So there's -- there should be a little bit more to come out. We're going to lose visibility, though, very quickly because everything gets blended operationally. So going forward, we're not -- obviously we have targets on going after those categories but that's -- that work is largely done now.
Operator: Next question comes from Phillip Huang.
Phillip Huang - Barclays Capital, Research Division: First, a quick one on the wireline side. You mentioned that the churn has actually decreased for Internet and TV. I was wondering what was the main driver behind that?
Joseph M. Natale: Sure. I mentioned that lifetime revenue has improved, which is a quotient that includes both ARPU and churn. We don't specifically disclose churn, but you can conclude from the fact that both are improving in order to get to that outcome. In terms of what's driving our retention around TV and high-speed, I think it comes back to, Phillip, the value proposition. Optik TV is a great product. It's a great product. It's very compelling with our consumers. Secondly, and probably most importantly of all, look at our focus on putting customers first. We have reputation and increasing strong capability for delivering on our customer promises and for driving likelihood to recommend. So our customer base has been one of the strongest sources of referral for us. And I think we've just gotten smarter over the years with respect to our abilities to manage the process from marketing through sales, through installation, through maintenance, through repair, et cetera. We launched, as Darren mentioned, Optik TV in the summer of 2010, and it wasn't a long time ago from one perspective because we're rounding to 1 million at the end of this year. But we've had almost 5 years to really focus on how to make sure we drive customer service in this area. And the team has done a tremendous job on this front. It's something that they've taken very, very seriously over the years because we wanted to be a new entry to TV that just didn't come with the same old same old. Strong capability, strong service reputation, and I think that's been at the heart of it.
Darren Entwistle: When you tailor the content to the viewing preferences of the household, you get better stickiness by giving the clients choice. In addition, when you bundle that particular product thoughtfully with other communications and online solutions for the household, you get better stickiness. And as Joe said, those are the key drivers.
Phillip Huang - Barclays Capital, Research Division: Right. And that's very helpful. And then a quick follow-up on the wireless side. I mean, your churn is impressive, lowest in North America, while some of your peers are kind of going the other way and sort of going through a bit of a strategy transition. I mean, to what extent should we interpret your guidance for wireless as providing some -- opportunistically going some -- going after some market share during the double cohort event this year?
Joseph M. Natale: I don't think it would be wise for us to comment on our strategy with respect to double cohort and how we're going to approach that phenomenon, Phillip. I think that's something that's very sensitive and not something we want to talk about.
Operator: Last question comes from Drew McReynolds.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: Two quick ones for you, John, and then perhaps one for Joe or Darren. Just with respect to the enhancement program, the $250 million EBITDA, just wondering how fully is that captured in year 2015 guidance or is 2016 more of a run rate on that. And then, John, just remind us of your U.S. dollar exposure in terms of the hedges and what rate are you factoring in in terms of guidance. And then maybe one for Darren or Joe. Just very quickly, obviously from your strong sub-growth I would assume you're not seeing much of an impact from Shaw WiFi. Can you just remind us how WiFi feeds into your thinking in terms of your footprint strategy, et cetera?
John R. Gossling: Thanks, Drew. On the enhancement program, the wireline margin enhancement program, you heard Darren's comments earlier about our cost focus. So on that program we're on track. It's built into the guidance. And we're tracking actually slightly ahead. So that's all part of the march to the 30% margin in wireline that Joe talked about. So that's got a check or a double check on it right now. In terms of U.S. dollar exposure, we don't buy handsets in U.S. dollars anymore, so the big exposure is behind us. In terms of other things, there'd be a little bit of CapEx exposure, a little bit of I'd call miscellaneous OpEx exposure, things here and there but no big buckets. We're largely hedged. We don't fully hedge because we can't always predict some of these smaller items. It isn't the same number every year. So we've done the analysis. The impact of the lower dollar is relatively immaterial, right down to the EPS line. So obviously the dollar has continued to move down and moves every day, but we feel like we don't -- we're not going to have a big impact there, given the hedging programs that we have and just the absolute amount of demand for U.S. dollars, it's probably quite small.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: And WiFi?
Darren Entwistle: Okay, on the WiFi front, Shaw's WiFi topology is very much factored into our strategic plan, our competitive thinking and the guidance that we've put forward to you. It's not been a consequential impact to the TELUS organization thus far. I continue to believe that in terms of the portfolio of services that we have across macro wireless and wireline, we have a product composite that is second to none in both quality and differentiation. And I think that supports an excellent competitive standing versus our cable competitor. We have our own small cell deployment underway ourselves. And I think that particular underlay and the way that we mesh that with the macro network and create a heterogenous network will give us significant strategic advantages going forward, both in terms of small cell macro interoperability, the seamless transition of applications from the small cell environment to the macro environment and as well significant cost economies, including the synergy with the fiber deployment that we've been undertaking that supports the small cell experience. Again, for TELUS, we try and invest smartly in technology, but where we really do consummate our leadership position is in respect of service excellence. And this is an organization that will lead our industry and service industries globally when it comes to the voice of the customer and their likelihood to recommend us as their chosen service provider, and that's where the emphasis is going to be. And we've got great products to build upon. If you look at the attributes of our wireless services, we lead on most of the financial and operational metrics that matter, and that's down to quality and service excellence. And if you think about the comments that Joe made about the attributes of our Optik TV product and how they distinguish themselves and the type of growth that we've experienced since 2010, I'm extremely confident in our competitive positioning going forward and the technology and service level investments that we will make to support that. And then lastly, when it comes to TELUS' competitive backbone, I think myself, Joe and John would say, at the forefront of it all are our employees and their level of commitment, our culture for competitive advantage and the fact that we have the #1 employee engagement level across all corporations around the world. And their passion is putting customers first, and that translates into great operational and financial results. And in terms of 2015, what you can expect from us is really more of the same. We've never been an organization that's been out there going crazy over market share. We've been thoughtful about our approach, our competitive positioning. We think about value, both for ourselves, our investors but also for our customers. We've been a responsible organization economically. The fact that our 54% share of net on the wireless front came on the back of a 30% share of growth I think really is reflective of an organization that's thoughtful and responsible, but really creates its differentiation message through the excellence in customer service and how that manifests itself in the churn rate or customer loyalty and retention. I think that type of behavior is what you can expect from this organization going forward.
Paul Carpino: On behalf of Darren, Joe and John, thank you for taking the time out of your busy schedules to join us. If there's any follow-up, please feel free to call the IR department as well. Thank you.
Operator: Ladies and gentlemen, this concludes the TELUS 2014 Q4 Earnings Conference Call. Thank you for your participation, and have a nice day.